Operator: Welcome to the Trelleborg Q3 2024 Report Presentation. For the first part of the presentation, participants will be in listen-only mode. [Operator Instructions] Now, I will hand the conference over to CEO, Peter Nilsson; and CFO, Fredrik Nilsson. Please go ahead.
Peter Nilsson: Thank you, and welcome to all of you to this call, where we're going to discuss and present our Q3 results for 2024. Speaking, Peter Nilsson, President and CEO. And also on the call, you will also have Fredrik Nilsson, our group CFO. And potentially, depending on the questions, Christofer Sjogren is also here to join in, our Head of Investor Relations, if there is any question heading his way. So with that, we start, and turning now, which is already on, I see the agendas, where we have our usual agenda for our quarterly call, starting with some general highlights and some comments individually on our three business areas. Then Fredrik is going to join us in the call and guide you through the financials and then with summing up as usual, also with the summary on the quarter again, and then some comments on the running quarter and then finish off the call with the Q&A session. So turning to Page 3, heading of our report is I think mixed performance. I get back and comment a little bit more about that what we actually mean by that. Overall, sales is flat in line with last year impacted with deal, which we think is kind of a strength field organic sales positive. And we also know with satisfaction that we also have M&A assisting us. And then of course, we have currency this quarter moving in the wrong way, of course, impacting both sales but as well impacting the EBITA in the quarter with some translation differences on the currency. EBITA is ending up at SEK1,464 million and let's say, a slight down peak compared to year ago, basically down to fully explained by the currency, but of course, also with the underlying business. This then goes up it resulting in a margin 17.3%, just slight down to a year ago. But nevertheless, we are satisfied with quarter. We feel that we have been able to manage this flattish development in a good way. I mean, we are still exposed to inflationary environment, and we've been able to compensate fully for that. And at the same time, of course, we are also still building a lot in Trelleborg, we are still investing heavily, we are still investing in order to position Trelleborg even better for the future and we've been able to absorb that. And also commenting on EBITA, Fredrik will probably get back and comment as well. We also note that we have kind of quite high, if we call central cost in this quarter related to continued high M&A activity. We also continue to improve the group long-term. We have some items affecting comparability of SEK73 million in the quarter. Cash flow, strong cash flow, although, down from a year ago, but last year was very good. We are still managing the cash in a good way. We are still releasing working capital. And also, behind this is also a high CapEx level. I mean, we have several new factories coming up in new growth areas. We did both growth areas as well as good kind of cost environments. So that is also impacting the cash flow. So overall, also we are satisfied with the cash flow. We also know that satisfaction in the quarter we've been able to close the deal with Baron Group, which is then substantially improving our position in -- within our medical business, both with regards to exposure to, let's say, various medical sub-segments, but also geographically expanding us. And now, we feel that we created a very good, good base for continued good organic growth in this area and also, of course, continue to scouting for bolt-on acquisitions to even strengthen that. But in the development of our medical business, Baron Group is a very good add on for us. We also know that thrust you seen it, we had a smaller supplementary acquisition made in U.S., which is then strengthening in the south of the U.S. distribution company selling seals and solutions for Sealing with a focus on South, is Alabama based, which that means also covering Louisiana and Texas in a very good way. So that is, let's say, good geographical add on for us in North America for the Sealing business. So this is really the overall heading. So turning to the page, next page, Page 4 about organic sales. Here you see, we have some mix. We have kind of a flattish development, if I'm saying Europe, slight downturn in the North America related primarily, we will be commenting later on, primarily related to what we call our fluid power business, our business in North America related to construction, equipment, agriculture and machinery, where we see also a dip in the quarter. And then Asia and rest of world performing very well with a strong, strong growth. So in total, that ending up at 1%, but this is a mixed performance, and we don't -- we believe that this North American drop is, more inventory related. It is not kind of a full reflection of the underlying, demand is more or less an impact we have in the quarter on some under production for some of the key industries in U.S., in the quarter. And then turning to Page 5, agenda slide again. And quickly then turning to Page 6 to discuss about the business areas. Starting on Page 6, with some comments on Industrial Solutions organic growth, heading organic growth despite tougher markets. We know tier organic sales is up by 2%. M&A also adding another 1 percentage point. Mixed demand, I mean, we still have -- we start with kind of the negative, and we still have a muted demand in the construction related businesses here. Mixed demand in the pure, if I may say, pure industrial segments, which is mixed a little bit difficult really to get to a very firm conclusion on exactly what is happening, is mixed in industries is mixed a little bit throughout geographies. Overall, then we have a good demand. We're selling to LNG and oil and gas and major infrastructure projects is continuing very well in the quarter and that is kind of beneficial for us in the quarter and EBITA and margin is lower compared to a year ago, but that is really mainly related to tough comps. For those of you following us that year ago, we had extraordinary project deliveries for the Panama Canal, which is done -- that's a -- we benefited at the loss in that time. We don't have the same orders this year. So we feel that 15% EBITA in this quarter is actually quite good. We also -- you also -- those of you who are following us knows that Industrial Solutions is the area which is still a little bit more exposed to Europe, and therefore, also a little bit more exposed to the kind of vacation period in the quarter. So, this was, once again, a little bit extraordinary good a year ago. But overall, we are satisfied with the development in Industrial Solutions business. Turning to Page 7. The Medical business, as already commented is a new platform being created in the quarter, a strong benefit from the acquisition of Baron, where we see it's being consolidated here from mid-July and, of course, going to be a first full quarter here in the running quarter. Underlying organic sales is kind of flattish, which we see as somewhat positive in a way. That we and other, let's say, component suppliers has been impacted by this, let's say, focus on inventory, which is happening among our customers. And we do -- it's a little bit still -- let's say, in some subsegments it's still an issue. But we see we are getting out of that area -- of that kind of situation step-by-step. But we cannot say that it's going to be the end of it. But nevertheless, we feel that our positioning is good and we are getting good, let's say, momentum going forward, once again, especially related to the integration of Baron. Baron is also assisting us with both their underlying performance as well as some immediate synergies, which is then improving both EBITA and the margin. And we are, in the quarter, getting close to this 20%, which we feel is a good level going forward. We have -- the integration has been good and we have basically no issues. That has been well managed by the business. And also the new colleagues coming in has also been doing that in a very positive way. Also to note, which is kind of hurting, the cost in the quarter, we have several, let's say, new projects ongoing here. We have, let's say, a new factory coming up in Costa Rica. We are expanding one of our major facilities in U.S., and we are also developing a new factory or sub-factory, you can say, in Malta. So, there is several, let's say, investments ongoing in our Medical Solutions area in order to make sure that we are really utilizing this global footprint, that we are developing and making sure that we can take care of the customers wherever they are in the world. So, a good development in Medical Solutions, and we are excited to continue our journey here with our Medical Solutions business. Turning to Page 8. Let's say, stable performance in tougher markets. I mean, you have already noted that I commented a little bit on the down in general industry in Europe and North America. Asia is up considerably in certain areas, a bounce back from previous declines. We also note that automotive industry is still doing good in the quarter. We have been commenting on a few quarters now that we feel automotive has somewhat been overperforming and we are still watching it. Looking good short term, I should say. But I mean, there are still some noise in the background. And we cannot continue in a way to overproduce cars. And that is something that we need to watch. And we are watching it and we are addressing it and we are preparing for a slightly more downturn in this industry. We note continued very strong sales to aerospace. Good underlying market. I mean, for those of you following aerospace is aware that there's a multiyear full order book. I mean, some people talk about 10-year full order book. Let's see. But nevertheless, the order book is solid. And let's say, the actual sales is more impacted by some logistic challenges in the industry, which is related to, yes, basically all the industry. I mean, I think it's well aware what Boeing is discussing in U.S. And then we have, let's say, Airbus in rest of the world also discussing. But the underlying demand is strong. We continue to grow our market share. We continue to expand our offering. And so we feel aerospace is looking, yes, very bright for a long time. All this is a mixed picture that we have here. I mean, EBITA is unchanged, which we think is a strength that we are able to deliver same margin as last year, even though we have this kind of mixed performance all over. Also, this continuing to scout for bolt-on acquisitions is not a major add-on in the totality, but it's a very important add-on with CRC once again for the south of US. So, that is the kind of acquisitions we like. It's very limited risk and immediate, let's say, add-on, and we can immediately expand their offering and we can immediately get access to customers that we didn't have before. So, this is the kind of acquisitions we like. Leaving that, turning to Page 9, some comments on sustainability. We continue to improve in the CO2, and it's getting down to levels now which is fairly low. But of course, we continue to improve. We are now low in CO2 emissions overall, and that is something also that we are once again continuing to address and we will continue to focus on this and improve further. And then turning to Page 10 and looking at the share of renewable and fossil-free electricity. We are also here up to 87%. And of course, we are targeting the maximum here. But also here, we're getting, let's say, to a level where we cannot improve that much anymore. We have some legislationary things here in certain countries. You cannot really buy renewable electricity anymore yet. And that is something, of course, we're working on. But also here, we expect it to improve. But once again, I mean, we cannot kind of continue to improve in the same pace as we have for the last few years here. Turning to Page 11, agenda slide again, financials. And leaving then to Fredrik. And yeah, page 12. Fredrik, please go ahead.
Fredrik Nilsson: Thank you, Peter. So, let's then move to Page 12 and looking at the sales development. Organic sales up 1% with organic growth in all three business areas. Industrial Solutions reported organic growth by 2%, while both Medical Solutions and TSS, the Sealing Solutions grew by 1%. Reported net sales on par with last year at SEK8.442 billion. As just mentioned, organic sales increased by 1%, structural changes added 2% in the quarter, while currency effects were negative by 3%. Moving on to Page 13, showing the historical sales growth in constant FX. And here, you can see that the third quarter was below on our sales target, but back to growth. Moving on to Page 14, showing the quarterly sales on rolling 12 months for continuing operations. Here, you can see that the sales in the quarter reached SEK8.442 billion, and at the rolling 12, the sales amounted to SEK33.8 billion. Moving on to Page 15, looking at EBITA and margin, which was slightly down in the quarter. And if we start with the EBITA, excluding items affecting comparability, it declined by 2% to SEK1.464 billion. As Peter mentioned, we have a strong profit growth in Medical Solutions, while we saw a minor decline in Sealing Solutions and then down 8% in Industrial Solutions. And as Peter also pointed out, we had some extraordinary sales last year. Also commenting on the central cost, if you're looking on the sequential development, we are pretty much in line what you saw in Q1 and Q2 with our third quarter, but the third quarter last year was exceptionally low. In the result for the quarter, there was also a negative translation difference of SEK47 million compared to the corresponding quarter last year and margin 17.3% compared to 7.6% last year. Moving on, Page 16, looking at the EBITA and EBITA margin on rolling 12. We have an EBITA on the rolling 12 of SEK5.977 billion with a margin of 17.7% and EBITA has increased with 1% during the last 12 months. Moving on to Page 17, the profit and loss statement and some more details on the income statement. We have items affecting comparability in the quarter of SEK73 million, which is entirely related to restructuring cost for adjusting our cost base. Financial net reached SEK128 million in the quarter versus SEK44 million last year. I would like to highlight that last year we were sitting with a net cash position and we had interest income of SEK73 million. And now, of course, when we are back to a net debt position, we don't have the cost funding income in this quarter. We also have some interest cost of SEK23 million in the quarter related to long-term earnouts, which is then handled according to IFRS 9 with no cash impact but is reported as an interest expense on those liabilities. Tax rate for the quarter amounted to 25%, which is fully aligned with our underlying tax rate. Moving on Page 18, earnings per share. And if you look at some excluded items affecting comparability, it's amounted to SEK3.78 versus SEK4.19, and it's down 10%, mainly due to the higher financial net. And for the group as a whole, earnings per share was SEK3.54 in the quarter. Moving on to Page 19, the cash flow. Operating cash flow for the quarter amounted to SEK1,422 million. We have a stable EBITA year-over-year. Cash flow for working capital was positive in the quarter, as you can see, SEK88 million but was even more positive last year with SEK320 million. So, continued good work with our working capital. CapEx in line with communicated guidelines of around SEK400 million per quarter and leasing is now back to normal level in Q3 this year, last year was impacted by long-term lease related to one of our greenfield projects. Moving on Page 20, cash flow conversion, still on a good, good level, 85% on a rolling 12-months basis. And we should have in mind that we continue to have an higher CapEx level. If we then continue to the next page and looking at the gearing and leverage development, we have now a net debt at the end of the quarter of SEK5,381 million, including the liabilities related to the earnouts. We have done share buybacks of SEK756 million during the quarter. We have paid for the Baron acquisition. So, the debt/equity ratio was 13% when we left the quarter. And net debt in relation to EBITDA was 0.8. In other words, our balance sheet remains strong. Moving on to Page 22, return on capital employed dropped a little bit and now is ending at 12.3% on a rolling 12-months basis. And capital employed increased during the quarter due to the acquisition and our continued high pace on greenfield investments. Finally, some guidance for the full year for 2024. CapEx SEK1.7 billion, a minor increase from SEK1.6 billion to SEK1.7 billion. It's more a timing because we have a good pace of our ongoing greenfield investments. Restructuring cost, we expect to be the same as earlier guidance, SEK300 million. Amortization of intangibles also unchanged on SEK500 million, and the underlying tax rate of 25%. By that, I would like to hand back the microphone to you, Peter.
Peter Nilsson: Great. And then we move on to Page 24, Agenda slide again. And then quickly turning off to the summary and outlook, and turning to Page 25. We feel this quarter, we said, mixed performance, a little bit not fully in line in all aspects, but I'll say, generally in line with our expectations going into quarter but still saw some impacts here during the quarter once again, especially related to the kind of machinery, construction equipment and agriculture where we have some down in the quarter, which we also noted, by the way. I have some comments on that. I mean, I trust you also note that some of the key players in these industries have, let's say, I openly told that they're under producing, which was a little bit of a surprise, but that was kind of unexpected that made this drop a few of them. So we do expect that to be a temporary impact and it's going to be better, it's going to be pulling us a little bit into Q4. But overall, we don't see that being kind of a negative long-term. Overall, solid performance, we feel -- I mean, we are also looking behind these figures. We are in Trelleborg, we are investing more than ever. We have several new plants coming up and several initiatives pushing. We continue to focus on our speedboats. We feel that we are moving forward in several of the speedboats, the areas. We are improving our position in aerospace. We all know with the Baron acquisition medical is growing, we are also, which we've not noted before, we are also happy with the integration of the acquisition we did in Korea earlier here, which is then reinforcing our position in semiconductors. Our position in LNG is strong. And also here, we noticed, I mean once again this relatively small acquisition CRC in Alabama, but that is in a way we want the business to move also more into solution selling, getting close to the customer and expanding our offering and our exposure in terms of solution selling and more or less high value-added activities. So, overall, and on top of that, we also see Asia growing with Baron. We continue to invest in Asia. We have factories coming up in Vietnam. We're expanding our footprint in China. We are also investing in India. So, we see that also in these aspects, we're moving forward. Continue to work with M&A. We have some continued activity in that area and we do expect something more. But with the primary focus there being on bolt-on. So, overall, a good quarter, but in the quarter, of course, volume is challenged in a few areas, but we feel that we are managing this in a good way and we are balancing that the cost focus with continued efforts to improve Trelleborg long-term and we are in total in the quarter building a better and stronger Trelleborg. And turning to Page 26, Outlook, we decided to change the guidance a little bit to slightly lower and no drama in this. And we're talking kind of individual percentage points here. So, we don't see this as being any kind of dramatic change. But as always, we want to be transparent. We want to be open in the way we look at it. And we do see that sequentially getting down a little bit. The majority of this downtick is once again related to this. What we already mentioned a little bit, machinery sales or sales for us to machinery. And those of you following us know one of our biggest segments, especially within Sealing Solutions, this is we call it Fluid Power, which goes into different kind of hydraulic and pneumatic equipment and that the area is where we really see the downtick. We also do see and believe that now we're going down really to the details, but nevertheless, we see that the Christmas this year probably going to impact the business somewhat and we are already concerned that it's going to be -- there's a slightly earlier stops on a few of our customers. And that is also something that we have been kind of taking into our, let's say, evaluation when we say this. So we don't want to elevate this to anything big. But nevertheless, as always, we want to be transparent and we believe that that is going to be down with one or two percentage points. That is really what the guidance is supposed to be indicating. So, this is the comments on this. I expect some questions with that. So then turning to Page 27, Agenda. And then, quickly to Page 28, and opening up for questions. And also, so please, please go ahead.
Operator: [Operator Instructions] The next question comes from Erik Golrang from SEB. Please go ahead.
Erik Pettersson: Thank you. Three questions. First one on your growth in Asia. If you could provide a bit more color on the dynamics behind that? What specifically is supporting it? And then secondly, on all these sort of investment projects you're doing now, how speculative are they in nature, i.e., how sort of good visibility do you have on front-load initially as you wrap those up? And then secondly, if you can remind us how you think about normalized CapEx to sales for the business? Thank you.
Peter Nilsson: Okay. Growth in Asia is basically all over. We are growing -- I mean, some of the areas is -- which is extraordinary is the LNG growth, and we also have some infrastructure growth there, where we are kind of expanding our presence, and at the same time, how should I put it? The focus on quality in certain areas is good. We also have some sizable projects for offshore windmills in the quarter, where we do some special sealing solution for the construction of offshore windmills. So there is some project sales which is impacting us, but we do expect that part of it to continue because we are growing our presence and we are getting better in getting specified and getting into these kind of projects. And besides that, we've had -- especially in China for kind of machinery construction, it's been fairly depressed. There have been a lot of focus on inventory there, on financing, as you're well aware. And that has been kind of a strong -- surprisingly strong bounce back on that, to be honest. But we also there, we see that we're continuing at least for the next few quarters good order intake and solid position. But of course, it is a slightly bit -- slight extras on these project sales. Also, although small, but it's growing quickly is our semiconductor presence. There is several good initiatives in Asia. I struggle really to find anything which is bad in Asia for the time being for us. India is also bounce back mode and that is also growing. And then -- so that is also connected to the speculative investments or what you call it. it's not really the way we see it. We are lacking capacity in China at the moment, but we don't expand in China. So we're building up a little bit in Vietnam to be able to balance that. India, we have outgrown the facility and so it's a normal kind of organic CapEx. If we talk the Morocco investment, that is following also with aerospace establishment, already orders for the Morocco sales. Costa Rica is another one that is also, let's say, supporting the Americas in a way and making sure that we can globalize a few more customers. So all in all, we don't -- we feel that we have solid grounds for most of this, and then we don't expect that new investments to be any kind of loss makers. So we do expect them to bring profitability basically as soon as they are up and running. So we are not kind of doing this and wishing for the best in a way. All of them is based on a solid business case and with a solid also strategic rationale behind them. And you will have more of those. I mean we're continuing to focus. We are still feeling actually in certain areas, especially of Asia, we need to increase our presence further. So I mean, without -- we're probably looking a little bit more to India expansion. We also need to probably look at some expanded presence in Southeast Asia. So hopefully, if everything goes -- of course, it's linked then to customer commitments and stuff like that, but we do have more activities going in this direction. But then on the CapEx level, maybe, Fredrik, you can -- CapEx guidance or whatever you want to call it, go forward.
Fredrik Nilsson: Yeah. You asked, Erik, about the underlying normalized CapEx to sales. And I will say that should be in the range 3.5% to 4%, in that range when we are -- where we are past this, call it, peak. There will be high also next year, and then we should start to see it sliding downwards. And that is based, of course, on an earlier communicated investments in new greenfield. So hopefully, a little bit lower than we are seeing this year, but then it should start to slide downwards.
Peter Nilsson: I could be even firm -- it will be lower.
Fredrik Nilsson: Yes.
Peter Nilsson: It will be lower in '25 than '24, but we don't know exactly how it will go down. And then we will continue down further in '26. So that is the way we look at it.
Erik Pettersson: Okay. Thank you.
Operator: The next question comes from Forbes Goldman from Pareto Securities. Please go ahead.
Forbes Goldman: Great. Thank you. One question on the Minnesota acquisition and how the state of that integration is going so far. Yeah. And how you see the trajectory of the TSS margin getting back to the 23% target? Thanks.
Peter Nilsson: No. The MRP now has been -- we have owned it for some time, and we actually kind of done the next step in integration now. We are kind of separating the business a little bit. Some of it is going into medical and some of it is going into TSS. We still feel that this is a very good strategic acquisition for us. It's improving the position. It's going to drive up the profitability in North America, but also drive up the organic sales. We have some headwinds in some construction-related businesses related to this, but we also have some tailwinds in other parts of the business. Of course, it's not always go exactly as planned, but we have something doing better than planned and something slightly worse. Overall, still developing in line with our expectations and our kind of guidance that it is going to improve over time still stands fully.
Forbes Goldman: Great. And on M&A, it's clear that you have ramped up your acquisition pace in recent times. Is there anything particular that you're seeing really driving that? And what can we expect going forward from here?
Peter Nilsson: We continue since long time to work on acquisitions. And this is, let's say, by nature for us a little bit bumpy. We know our targets. We know what we want to buy. But all of that is not kind of available always. So you need to wait for the right timing. It's a little bumpy at the moment. We have high activity level. We have several kind of M&A projects pending. But don't misunderstand that. It's not at all on the level of Baron, on a level of Minnesota. And here we're talking, let's say, tens of millions of euros. And that is the kind of the level you will see. But still there is a number of those, and we hopefully will -- you never know until you have it in the box. But nevertheless, we will see a positive move. And we have several activities ongoing with decent valuations also, I should say. I mean we still don't see, if I may say, the private equity guys really out fighting there. I think most of them in kind of still a selling mode. So we don't really see them being as active as they were a few years ago. And of course, we want to use this opportunity to be able to try to conclude and get to a closing on the deals that we are discussing. But once again, don't misunderstand us here. This is going to be nice bolt-ons. It's going to be improving, let's say, already existing positions. And we are not looking to further kind of expand beyond where we are today.
Forbes Goldman: All right. Thank you.
Operator: The next question comes from Hampus Engellau from Handelsbanken. Please go ahead.
Hampus Engellau: Thank you very much. Two questions from me. First, thank you very much for more transparency on the guidance. And just a follow-up on that is, is the reduced outlook on a geographical basis more related then to North America when you're talking inventory reductions at hydraulic manufacturers? And then second question is on pricing, Peter. If you could maybe talk a bit about what price contribution you had during the quarter and also what type of discussions you have on price going forward? Thanks.
Peter Nilsson: About geography, I mean the first hit here was mainly North America. We do expect Europe also to be a little bit hit by this. I mean it is a little -- and especially you, Hampus, are following those guys and you see that they still have kind of solid order books, but the order intake is a little bit down. And I don't know. Then probably we read it as there is a stronger focus on cash flow and stronger focus on inventory levels underlying this. Demand still relatively solid. But we note that some of the bigger players in this industry, they have openly communicated that they are underproducing. And that was already -- always you have to look back and look at yourself and see why didn't we understand that. Because now when we look back at the comments from several of those, we saw that the comment on that already at the end of last quarter that they're going to underproduce. But then it was running with a good pace actually in the beginning. But then when the vacation period came, they were kind of pulling back and extending the brakes -- extending that a little bit. And then that kind of seeped through the industry. And then we do see that in North America already in the quarter and we do expect it -- or we do expect it to soften a little bit in North America in Q4, but then we expect it to be slightly more impacted by that in Europe. But once again, it's a little bit -- it's not -- it's challenging, to be honest, because it's not really the underlying demand. It's more the production planning of some of the key contributors in this industry. So that is really trying to be fully transparent. But I mean, they are not fully transparent to us, and we need to judge it in the best way we can. But that was kind of a little bit -- if there was a slight negative in the quarter, this was kind of the negative what we saw. I don't know if that is enough for you, Hampus, on that one.
Hampus Engellau: Yes. And then moving on to pricing?
Peter Nilsson: On the pricing, I mean, we still have positive pricing, of course, year-on-year. Still have some price increases kicking in. It's not at all at the same pace as before. But we still see there is room for some price adjustments upwards. We don't really want to share exactly the percentages here. But for sure, the volumes was negative year-on-year. So let's say, what brought us into organic growth was the price component.
Hampus Engellau: Thank you.
Operator: The next question comes from Agnieszka Vilela from Nordea. Please go ahead.
Agnieszka Vilela: Perfect. Thank you for taking my questions. So I just wanted to start and ask about aerospace. You said that the impact from the strikes in the quarter has been quite limited for you so far. But we have seen some peers actually talking about this factor affecting their orders and sales. So a question here, do you expect a slowdown in the aero business in Q4 because of that?
Peter Nilsson: First, we don't see really a downturn in orders, to be honest, Agnieszka. It's more the call-offs in a way. So they still want to make sure that they get the products. It's still -- underlying in the industry is still kind of a lack of manufacturing capacity. So of course, I don't know -- so both of these key kind of companies in the industry, they are still placing orders and they still want us to be ready for an uptick. And then, of course, we see this more as a very temporary impact. We don't know -- I don't know. I saw the flash this morning that they declined this offer in Boeing again. And I think they accepted the salary, as I understood. But now there was some pension things also on the table. So I think Boeing is eagerly trying to solve this. But also on that one, we must be aware it's not all of Boeing. So that is the Boeing facility in Seattle, and there is some other Boeing facilities still running and pushing. Of course, they're not going to be able to change dramatically over time. But this kind of lack of overall capacity in the industry is for time being also utilized in other plants of Boeing, to be open about that. But we do expect that to be solved. So it's not -- we do expect an impact, but it's difficult really to judge. And we don't expect the impact to be major, if you're sitting here today. And then, of course, still on the European side or Airbus side, I mean, they are still pushing. I mean it's challenging times, but we do expect it only to be one or two quarters. So we don't see that as being an impact for long term. Orders are still growing. I mean that is the -- so the order book is still growing, but the call-offs for the next few months is potentially down.
Agnieszka Vilela: All right. Understood. And then you mentioned, Peter, that you expect that Christmas will impact the business with likely earlier stops at a few of your customers. Have you got these indications from the customers directly?
Peter Nilsson: No.
Agnieszka Vilela: Or is it your thinking about how it will fall down?
Peter Nilsson: Then we'll see it. I mean, the Christmas the way it's placed this year is probably going to be some -- I don't know. We looked internally, it's only two or three vacation days and then you get two weeks off. So of course, I mean, I believe that's going to be impacting the European business. And we know Christmas is not that much impact in North America or Asia, probably not at all. But the European -- it ought to be -- it has to be some kind of impact on, let's say, the running of the factories due to this. And difficult to estimate, but definitely on the negative side more than on the positive side.
Agnieszka Vilela: Understood. And then my last question is to Fredrik. We have seen somewhat elevated central costs in the quarter. What level should we expect going forward?
Fredrik Nilsson: I mean we are pretty much -- on a sequential if you look at Q1, Q2, we are pretty much in line with the two previous quarter. But as you say, there's a significant increase compared to Q3 last year. But we have a high M&A activity level going on, and that is, of course, adding some extra cost. So I think you should be looking at the current -- some kind of average over this year. I think that will be the run rate going forward, Agnieszka.
Agnieszka Vilela: Perfect.
Peter Nilsson: And then going -- it's on a high level. It's slightly -- but we're talking SEK10 million or something.
Fredrik Nilsson: Yes.
Peter Nilsson: So it's not really a major -- but it's slightly on the high side.
Fredrik Nilsson: Yeah.
Agnieszka Vilela: Yeah. Perfect. Thank you for the clarification.
Operator: The next question comes from Timothy Lee from Barclays. Please go ahead.
Timothy Lee: Hi. Thanks for taking my question. I have one question on the Medical Solutions business. So I think last quarter, we used to talk about demand start to improve a little bit since the later part of the quarter. But it turned out in the third quarter -- the organic sales growth in the third quarter is 1%, is even slightly below the 2% in the second quarter. So can you elaborate a bit more about the situation right now? And how do you see the -- like the order trending or the demand trending into the fourth quarter? That would be helpful. Thank you.
Peter Nilsson: Yeah. We don't think -- I mean, we -- I mean, how to put it? The medical industry is a little bit different. We still have some kind of COVID impact, if I may say. Even though COVID is a few years behind us, but we still have some over ordering in a few segments, which is still impacting us. So still the comps on that one is still impacting us in a way in this quarter. We do expect that to go away, and then the comps will be slightly easier, if I may say, going forward. And then still, I mean, we -- I'm going to say we're learning. It sounds great. But it's still a little bit bumpy. I don't want to complain about our customers. But sometimes it seems like they don't really have fully control of their -- it's a bit bumpy order intake in that one. And that is something also which is very difficult for us to judge exactly what's going to happen in individual months or individual quarters. We still note that overall we moved our position going forward. And probably you need to see this over a little bit longer time than individual quarters because it is a little bit bumpy. It's a few bigger customers, and they -- depending on how much focus they have on cash flow and what they're doing, it's impacting us as well. But overall, we are positive on this industry and we do expect it to show good organic growth over time. But it still going to be -- continued to be impacted by individual quarters. I mean to be -- as always, I'll try to be as transparent as possible. I mean it is a little bit tricky to judge for individual quarters, because, once again, they are bumpy in the orders a few of the bigger customers here. So this is -- I think some of you is following other medical businesses and you see the same there. So that is the -- unfortunately, the way it is here, Timothy. That is -- I cannot say anymore. And that is why also the guidance is a little bit tough for individual quarters. But once again, overall, it's a positive growth story for us and, I guess, for the industry as well.
Timothy Lee: Understood. That's helpful. And another question would be also on the Medical Solutions about the margin. So we have a very good margin development in the quarter of 19.4% after the consolidation of Baron Group. So it is already close to your target of 20%. So is that something that we can see in the next quarter going to the above 20% level? And what do you see the segment margin be a reasonable level that we can assume for 2025?
Peter Nilsson: Yeah. Now, we're down to detailed guidance. But I mean, I still believe that we are still -- things to do in Medical. We are also here building the organization. We are -- as I already commented, we are investing in a few more factories. So we have some extra costs in the business area. And we're still -- as you say, still performing close to 20%. We do expect that the medium term, long term, this will be a kind of a contributor to the group margin, if I may say, a contributor to the overall margin target. But I mean, that is nothing, that we actually -- we want to, of course, continue to do as good as we can, but we are not, let's say, doing anything here to optimize it short term. We are still building this area. We are still, as I said, investing. We are still growing. And with all of that investments coming into the organization, we are still close to the 20%. So of course, we are aiming to continue to improve. But I mean, once again, it's not a short-term focus. And here, we want to deliver a good margin with good underlying growth. And to get good growth, we also need to invest in the organization, we need to invest in new facilities. But we are happy with the development and we are confident that we're going to continue to improve. But once again -- but that improvement is not really targeting Q4 of 2024. That is something we want to build long term and something that we want to create a stable long-term contributor to Trelleborg, both in terms of margin and in terms of growth.
Timothy Lee: Very clear. Thank you very much.
Operator: The next question comes from Klas Bergelind from Citi. Please go ahead.
Klas Bergelind: Hi, Peter and Fredrik. Klas at Citi. My first one is on automotive. It's a very weak end market at the moment, but you're operating obviously in niches with very strong market positions. Deliveries were up in Europe and Asia, which is interesting given the very weak demand there. Well, you've obviously seen it before where you outperformed production. But this quarter, in particular, stands out to me. Was this a particularly easy comp? I'm trying to understand what's going on in automotive, Peter, obviously, great to see, but it's just extraordinary? Thank you.
Peter Nilsson: Yeah. I mean, I think we were surprised. But we continue to do good, as you say. And we have two segments especially which is driving. We are special kind of sealing solution for the drive chain, which is growing and it's expanding. We are kind of supplying seals -- put it like that, if you have more than one engine in a car, then our sales is increasing. And on top of that, we're increasing the market share. So that's a good development. And also on top of that, we're also in -- our brake antivibration business is also doing good. So we are, for sure, outgrowing the market. And primarily then related to that, we continue to grow market share. So that is kind of the driver of that. And then we have -- so these are the two main drivers on this one. And we still have, let's say, possibilities to continue to grow the market share. We have been also -- we're not talking too much about it, but we are expanding especially for these special seals we call boots business. We've been investing in Morocco. We've been investing in Japan. We are expanding in China. We're also, let's say, reinforcing our presence in North America. So that is something which is benefiting. And also in that business a few years ago we made an acquisition in India, which is now also benefiting us globally. So that is kind of more -- how should I put it, Klas? -- operational skilled or -- I mean I shouldn't take the credit for that because other colleagues in Trelleborg are doing very good. But it's really skilled management and they are developing new products and they are kind of improving the market share. So that is the way that is explained. But also, I mean, you heard me say it before, I'm a little bit surprised about we continue to do good in that area. But these guys continue to surprise us, but continue to be good. So that is, I guess, the explanation we can give.
Klas Bergelind: Okay. Thank you. Well, it's great. My second one is, in the midst of the sort of gloomy outlook, obviously, you're talking about the shutdowns maybe in December on the machinery, hydraulics side, etc. But I'm trying to see if there is any green shoots at all, maybe residential construction. You say that this is still weak in this. Are you seeing any green shoots towards the end of the quarter into interest rates...
Peter Nilsson: Overall, construction -- when you say window construction, which is big for us, which has been very depressed. I mean, there we see a sequential small growth. I mean then we have several subsegments there that we're looking at. We're talking about window construction, that is a little bit up sequentially, but it's still a lot down compared to where it were a few years ago. We have this facade skyrise a little bit slow, where we also have a lot of ceiling exposure, which is more engineered seals and more project sales. That is still a little bit depressed. And we still feel that on this kind of more construction equipment, agriculture, it still has a good underlying demand. So we -- honestly, Klas, we struggle a little bit to see what is happening and we read it more as tactical changes in inventory. So this is definitely not kind of a very gloomy long-term picture. It might be a little bit gloomy for the next two quarters or something like that, where they are focusing more on inventory and cash flow. But we still feel that -- I mean, also in this industry it's still very good for Trelleborg in a way that they are upping their capacity, the capabilities, the properties of the equipment going up, more power, quicker movements, less friction, less energy consumption. So we feel that this industry is still very attractive for us. So we feel that it's kind of moving in the right direction. But then unfortunately, or fortunately, there's still, let's say, a little bit focused on cash flow and a little bit too high inventory. And of course, it's impacted also with interest rates. These guys, farmers and smaller construction companies, probably they have to borrow the money. And we do expect that to get better as the interest rates go down a little bit. So we are not concerned about it. We are adapting. And you see also it's not really impacting our margin. Of course, we want growth. Life is a lot easier if you're growing. But nevertheless, we're managing it and we are staying close to the business. Good operators in our business, Fredrik and myself. I mean, they are adjusting themselves. And that is also what we see in the quarter. I mean we feel that we're managing this, a little bit muted development in a few areas, in a good way.
Klas Bergelind: Super quick a final one, just a clarification on TMS and Baron. If we take sort of a medium-term view when we get back to the 5% growth target and the synergies are all in and the old business is starting to perform, is this a sort of old TSS kind of margin business of 23% combined? And I'm not talking about the next couple of quarters. I'm talking a little bit more medium term.
Peter Nilsson: Yeah. No, we do expect it to be north of 20%. And we don't really want to give a guidance exactly what we do expect there. But we still feel that this is an investment where we want to invest, we want to add. This is a long-term growth area for Trelleborg. And we will kind of not stop investing. So we're probably always going to stay a little bit ahead of the curve, that we have a little bit more investment than needed exactly in this individual quarter. So that is really what we want to say. We continue to invest in it. We continue -- going to continue to add costs in order to create the growth. And then, of course, the growth, we would like it to happen with the margin which is, let's say, well in line with our group targets.
Klas Bergelind: Thank you.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments. Please go ahead.
Peter Nilsson: Thanks to all of you for listening in on this. And as usual, I'm available, Fredrik is available, Christofer is available for any potential follow-up questions. Otherwise, keep in touch. And hope to, yes, see you soon all of you. Take care and keep being well. Thank you.